Operator: Good day, and thank you for standing by. Welcome to the Q3 2021 Pentair Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Jim Lucas. Thank you. Please go ahead.
Jim Lucas: Thank you, Stephanie, and welcome to Pentair’s third quarter 2021 earnings conference call. We are glad you could join us. I am Jim Lucas, Senior Vice President, Treasurer, FP&A and Investor Relations. And with me today is John Stauch, our President and Chief Executive Officer; and Bob Fishman, our Chief Financial Officer. On today’s call, we will provide details on our third quarter performance as outlined in this morning’s press release. Before we begin, let me remind you that during our presentation today, we will make forward-looking statements. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally beyond the control of Pentair. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to carefully review the risk factors in our most recent Form 10-Q and Form 10-K and today’s release. We will also reference certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures can be found in the Investor Relations section of Pentair’s website. We will be sure to reserve time for questions and answers after our prepared remarks. I would like to request that you limit questions to one and a follow-up in order to ensure everyone has an opportunity to ask their questions. I will now turn the call over to John.
John Stauch: Thank you, Jim. And good morning, everyone. Please turn to Slide 4, titled executive summary. I’d like to thank – start by thanking our Pentair teams for delivering outstanding third quarter in the face of unprecedented material shortages and inflation. We were pleased to once again, deliver strong double-digit sales and EPS gains. While it was easy to focus on the supply chain and inflation challenges that we all currently face. It is also important to appreciate how strong 2021 has been for Pentair. Year-to-date we’ve delivered 25% sales growth, nearly 40% segment income growth. We’ve expanded margins 170 basis points, and grown EPS 40%. We have said that we view our businesses as more seasonal than cyclical and our robust backlogs give us further confidence in our ability to continue our strong momentum in Q4 and into 2022. In addition to the strong sales and earnings growth, we have generated over $500 million of free cash flow this year. And our balance sheet is strong. We ended a quarter under one-time levered, and I am especially proud of our 19% ROIC. We have completed two acquisitions this year, that further advance our strategy. We acquired KBI earlier this year, that added commercial services capabilities to our growing water treatment business. We recently completed the Pleatco acquisition that brings strong aftermarket filtration products, not only to our flagship pool business, but also to our industrial filtration business. Given the strong third quarter performance, we are tightening our full-year guidance range, which Bob will give additional color on shortly. There remains a lot of uncertainty as we end the year, given the ongoing material shortages, logistical challenges and inflation. In fact, we experienced more inflation in the third quarter of 2021 then we did in the full year of 2020. We have gone out with multiple price increases across most of our businesses this year. There’s a lag from when price increases are announced and when we recognize them particularly given our strong sales and backlog growth this year. The good news, however, is we ship strong pricing tailwind entering next year. This has been a great year and we believe we have a lot more runway ahead to become an even stronger company. Please turn to Slide 5 labeled building a track record of consistent growth. We believe our strong performance over the past several quarters reinforces that we are in the right spaces for the future. Our portfolio of industry leading products and now services help consumers move, improve, and enjoy their water in addition to a growing industrial filtration business focused on faster growing niches, such as sustainable gas. We are building a track record of consistent growth. Our residential businesses have enjoyed robust growth and we believe there’s more to come. Our commercial and industrial businesses have been recovering back to 2019 levels and backlogs have been building in these longer cycle businesses. We’re making great progress in building out our strategic growth initiatives. As I mentioned previously, we have completed two acquisitions this year, that furthered our pool and our water treatment strategies. We are also driving transformation to both unlock value and to fund growth. While some of our businesses are further along the journey. We have identified a strong funnel of opportunities to help us become more productive, better serve our customers and drive growth and margin expansion. Our balance sheet is another lever available that offers great flexibility to invest in our core, return cash to share owners and to fund strategic acquisitions. 2021 has been a great year for Pentair, and we believe there’s a lot more yet to come. I would now like to turn the call over to Bob to discuss our performance and our financial results in more detail, after which I’ll provide an update on our overall strategic position. Bob?
Bob Fishman: Thank you, John. Please turn to Slide 6 labeled Q3 2021 Pentair performance. Third quarter sales grew 21% with core sales increasing 18%. Consumer Solutions grew core sales 26%, and Industrial and Flow Technologies delivered core sales growth of 8%. Segment income was up 28% and return on sales expanded 90 basis points to 18.5%. Adjusted EPS increased 27% to $0.89. Inflation continued to be a significant headwind, but we saw price nearly offset it in the third quarter. Corporate expense was $17 million in the quarter, and our tax rate was 16% in the quarter. Overall, the third quarter was another solid performance across the enterprise. As our teams continued to deliver in the face of material shortages, logistical challenges and inflation. Please turn to Slide 7, labeled Q3 2021 Consumer Solutions performance. Consumer Solutions sales growth was 30% as both businesses continued to perform at record levels. Segment income increased 27% while return on sales contracted as price did not fully keep up with a significant inflation headwind. While we have implemented additional price increases, our record backlogs and strong double-digit growth, create a lag from when the price – new prices readout. We believe this creates a tailwind on price entering next year, but inflation does not appear to be moderating. Pool experience sales growth of 32% in the quarter and was up 5% sequentially. The demand in the industry remains strong even as the pool fiscal year ends, an activity begins to moderate. In fact, dealers are booked well into the third quarter of next year, which we anticipate will result in another strong pool season next year. Favorable mortgage rates continued increases in home equity and the ongoing trend of suburban migration are all contributing to robust demand for the industry. We continue to see strong demand for our variable speed pumps as new efficiency regulations drive transition from single speed pumps. The majority of our mix as shifted to variable speed. 2021 has been a good year for new products, including our IntelliBrite, HD Light and higher energy-efficient tiers. We expect next year to be another strong year, including advancements in filtration and continued expansion of connected products. Demand for new pools remain strong with many builders reporting backlogs into the later half of next year. Our record backlog and favorable demographic trends give us increased confidence and momentum as we look to next year. Water treatment delivered 28% sales growth, as residential demand remained robust, and commercial showed strong signs of post-pandemic recovery. We saw our direct-to-consumer business improving leads and closings in several new markets and we continued to evolve our business model. We’ve made great progress in rebranding the business and are also building out our service capabilities. The commercial recovery continued and the integration of KBI is going well. We had a total water management winning the quarter. That was a great example of taking a product sale and adding installation and services with an existing KBI customer. While restaurant foot traffic is still not back to 2019 levels average ticket prices are up and the result has continued improvement in orders and backlog for what has historically been a shorter cycle business. While Consumer Solutions has felt the biggest impact from inflation and material shortages in the short term, we have successfully implemented multiple price increases that are yet to fully readout and strong backlog levels point to anticipated continued growth for the segment. Please turn to Slide 8 labeled Q3 2021 Industrial and Flow Technologies performance. Industrial and Flow Technologies increased sales 8% in the quarter while segment income grew 23% and return on sales expanded 180 basis points to 14.8%. Residential flow grew at a double-digit rate for the fourth consecutive quarter. This growth was accomplished even in the face of supply chain constraints that are not showing signs of mitigating. Our customers have continued to experience strong sell through, which gives us confidence that we will continue to grow. Price is also beginning to readout further and should a tailwind entering next year. Commercial flow increased sales 6% in the quarter. The focus in commercial flow continues to be on complexity reduction, better price realization, and building out the aftermarket business given the large installed base. Industrial filtration delivered 8% sales growth that once again by recovering the shorter cycle business of food and beverage. We continued to see strong orders and our sustainable gas business had strong backlog growth and a growing order funnel where we experienced an improvement in our win rate. IFT is building momentum on return on sales expansion, and our transformation initiatives coupled with price realization improving, we believe should drive more improvement going forward. Please turn to Slide 9 labeled balance sheet and cash flow. Free cash flow continued to be a great story, as we have generated over $500 million year-to-date. We have returned $200 million to shareholders through dividends and share repurchase during 2021. The balance sheet ended the quarter exceptionally strong with leverage remaining under one times. The return on invested capital ended the quarter at 19% a number we are particularly proud of. We had a higher than average amount of cash on hand at the end of the quarter, as we awaited the completion of the Pleatco acquisition, which occurred last week. Our balance sheet gives us a great deal of flexibility to invest in our strategic growth initiatives, both organically and through strategic acquisitions like KBI and Pleatco. Please turn to Slide 10, labeled Q4 and full year 2021 Pentair outlook. We are initiating fourth quarter and updating our full year 2021 guidance. For the fourth quarter, we expect sales to grow 15% to 19%. Segment income to grow 16% to 24%, and adjusted EPS to grow 16% to 24% to a range of $0.81 to $0.87. Our forecast reflects ongoing material availability headwinds and higher inflation. For the full year, we expect sales to grow 22% to 23%. Segment income to increase 32% to 34%, and adjusted EPS to grow 34% to 36% to a range of $3.34 to $3.40. In addition to supply chain and logistics challenges, we would also remind investors that the fourth quarter historically incurs a seasonal slowdown for many of our residential businesses, as the weather turns less favorable for outdoor activity, in addition to fewer work days around the holidays. Below the operating line, we continue to expect corporate expense to be around $80 million. We now expect net interest to be around $15 million and our tax rate assumption remains around 16%. We anticipate the share count to be around $167.5 million, both for the quarter and the full year. Capital expenditures are expected to be around $60 million, while depreciation and amortization is anticipated to be about $80 million. We continue to target free cash flow to be greater than net income. I would now like to turn the call over to Stephanie for Q&A. After which, John will have a few closing remarks. Stephanie, please open the line for questions. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Andrew Kaplowitz with Citi.
Eitan Buchbinder: Hi, this is Eitan Buchbinder on for Andy. Good morning.
John Stauch: Good morning.
Bob Fishman: Good morning.
Eitan Buchbinder: So inflation in I&FT appears to have been balanced with price in the quarter. Should price cost for the segment inflect positively in Q4? And what is your expectation for price cost positive in Consumer Solutions?
Bob Fishman: As we said in the prepared remarks, price is reading out nicely, in both of our segments. Unfortunately inflation continues to be a headwind as we look at the fourth quarter. I think that, Consumer Solutions, there’s probably the bigger impact of the margin challenge with the bigger backlog. And the fact that, prices reading out a little bit more slowly in that business. I think we’ll continue to see a challenged margin at least in the fourth quarter. For I&FT they have some really nice productivity improvements. And so margins should continue to improve even though inflation continues to be a challenge. 
John Stauch: The other point I would make is, and you saw a little this in the quarter, despite KBI being a very strategic acquisition, it is a services business, services businesses don’t have the large margin profile. And so it’s not going to have the same margin profiles, Consumer Solutions. So it is slightly dilutive to margins. And as we bring Pleatco in as well, even though it’s a really highly valuable asset and one that we think is going to have great runway in the aftermarket side, it will also have a lower margin profile than Consumer Solutions today. So both of those will be a slight drag on the margins, but on both are various strategic tuck-ins that we think add significant value over the long time.
Eitan Buchbinder: That’s helpful. Thank you. And you called out improving capacity in pool as supporting results in this quarter as well as in Q2. Where would you say capacity utilization stands now relative to its potential within your existing pool footprint?
John Stauch: It’s hard to answer that. I mean, I think, we’re not the capacity challenge, right? Our factories have capacity to meet the demand. We’re still working through the supply chain. And as we mentioned in Bob’s remarks, I mean the supply chain is hugely volatile right now. Even when we can get supply, we have to worry about ports. We have to worry about freight. We have to worry about transportation. So, we’ve got a real lumpiness as far as what’s coming in each day and we’re doing the best we can. And the teams are, I’m really proud of the team’s agility to move forward and deliver again, a really solid quarter in the wake of challenged supply chain areas. So, I can’t answer the capacity issue, but we have plenty of capacity lost within our buildings.
Eitan Buchbinder: Thank you. I’ll pass it along.
Operator: Your next question comes from the line of Joe Giordano with Cowen.
Joe Giordano: Hey guys. Good morning.
John Stauch: Good morning.
Joe Giordano: Hey, so sorry. I joined on a couple minutes late, so apologies if you covered this. But in our checks that we’re doing with the pool sector, it seems like price the next year is comfortably in the double digits. I think I saw you guys plus eight or so in consumer. Do you expect that to kind of like be a lagging indicator? You see that kind of going up with what’s currently in the market?
John Stauch: Yes, I think we, obviously too early to guide on 2022 right now, but given where we are with inflation and, as I said more inflation in Q3 than all of last year combined. And, even though we planned for doubling inflation, we’re in the quadrupling and quintupling range, which is startling, right? And so I do think with the supply chain logistics, we should anticipate that inflation continues to grow in the next year and therefore, we would continue to price to hopefully offset that inflation. And so, yes, I think the ranges that you’re suggesting are more the probable direction.
Joe Giordano: And if I can sneak in one more just on pool, if you were to categorize your business, I know we talk about like new bills versus retrofits versus just your traditional kind of break and fix. Like, how would you categorize the growth that you’re seeing now? Does anything like in any one of those seem like just way off of, what you would expect or is it kind of balanced across those three verticals there?
John Stauch: It’s really balanced. I mean, we’re seeing new pool builds, which is obviously driving pool growth. We’re seeing expansion of the pad, as we’ve been mentioned all year, which is driving pool growth and adoption and usage, which is on driving pool growth. So it’s across the spectrum of both new pools and aftermarket consistently.
Joe Giordano: Thanks guys.
John Stauch: Thank you.
Operator: Your next question is from Mike Halloran with Baird.
Mike Halloran: Good morning gentlemen. So on the comments that Bob made about some seasonal slowing, which is normal going in the fourth quarter, just digging on that a little bit, is the thought that you can get pretty normal sequentials across your business units going in the fourth quarter, or is there some sense of any weakening or strengthening demand in any of the two area, any of the areas you sell into or are there areas where the supply chain might be a greater headwind going into the fourth quarter than maybe what you would have saw in the third quarter?
Bob Fishman: The guide for Q4 from our perspective is roughly flat since sequentially is kind of, how we think about it. We have a little bit of challenges in terms of the seasonality of some of the residential businesses, but to be honest that the backlog is so healthy going into the fourth quarter, that it’s really about the supply chain and the material challenges that we face. So the business continues to be very healthy from a demand and backlog perspective. We are seeing some seasonality in the fourth quarter about residential. It really does come down to the supply chain.
Mike Halloran: So in other words, there’s nothing long that you’re assuming in guidance versus normal seasonality.
Bob Fishman: No, nothing, no.
Mike Halloran: Okay. And then follow-up, balance sheets in a great spot, sub one times levered and so twofold. One, could you just talk about actionability of pipeline, obviously done a couple good deals so far this year, and then secondarily, what would the calculus be to increase, the rate of share buyback at this point?
John Stauch: Yes. Mike its John, I think without a doubt, you mentioned, I think the funnel is healthy and there’s a lot of M&A activity. While we’re not going to necessarily accomplish everything, I think we want to be active and we want to be focused on our SGI activities. So that’s where we’re at right now. And, if in fact those, the pricing gets too lofty or they’re not the right deals for us, I think we’d lean back into utilizing, the cash on the share buyback side. In addition to our normalized targets that we publish as 150 a year.
Mike Halloran: Appreciate it. Thank you.
John Stauch: Thank you.
Operator: Your next question is from Brian Lee with Goldman Sachs.
Brian Lee: Hey guys. Thanks for taking the questions. Maybe just a bit of a follow-up on the last one, the revenue guidance for the year is up $15 million at the midpoint for 2021. I guess first question is, does that include Pleatco now and if so, how much are they adding? I think you said $95 million in the press release when you announce the deal. So it does seem like something, maybe falling out or coming down maybe about, $70 million, $80 million, if we’re adding that relative to the original guide. So maybe about, two percentage points, can you help reconcile a bit what’s going on with the guidance there?
John Stauch: Yes, just to clarify, we have just the complete Pleatco is roughly $20 million of contribution in Q4. So it’s relatively modest, on a full year basis, we think that’s close to a $100 million, but we’re not going to have it this whole quarter. And, it’s about two-thirds pool and it’s about one-third Industrial Filtration that’s where I would share with you what that contribution is. Let’s, as Bob said, we don’t think we see the supply chain ramping up between Q3 and Q4 while there’s still this strong demand. We don’t think it’s prudent to anticipate that we would ship more in Q4, given that there’s holiday seasons that are also, clamoring for the same ports and the same freight routes that we’re trying to get to. So, we’re doing the best we can to sequentially improve every single quarter. And I think we made great progress from last year into Q1 to Q2 to Q3. And now what we’re suggesting is it’s wise to think that we’re flattish in our ability to get product out the door from Q4 to Q3. The seasonality of the businesses, which is normal, is more of our service businesses. The businesses, that go into people’s homes to treat water treatment. And those businesses are seasonal. Not too many people look to do that over the holiday season. And as Bob mentioned, that’s why we usually see a Q3 to Q4 dip in those particular offerings. So normal seasonality with the belief that we’re not going to raise our expectations beyond what we delivered in Q3.
Brian Lee: Okay, fair enough. And then, I know you don’t want to get into a 2022 guidance and quantifying the pricing here, but can you maybe give us a sense of what recent or anticipated price actions are in terms of timing and then even into early next year. And then, when you think those start to really readout as you say. Thank you guys.
John Stauch: As we’ve mentioned in the prepared remarks, we have had multiple price increases this year to offset the inflation. We’ll continue to follow that process into next year, where as inflation trends higher, we will pass along that the price of that headwind.
Brian Lee: That’s fair enough. Thanks guys.
John Stauch: Thank you.
Operator: Your next question comes from the line of Saree Boroditsky with Jefferies.
Saree Boroditsky: Good morning. Thanks for taking my question. Could you just talk through what you’re seeing from an early order program and how you’re thinking about those deliveries in the fourth quarter versus the first quarter, and then any commentary on what you’re seeing in the channel from an inventory perspective?
Bob Fishman: Yes. We don’t expect a significant early order program in the fourth quarter. There might be pockets, but at this point, nowhere near the size that it’s been historically.
John Stauch: Part of that is with the, with the significant backlog we have, it’s not prudent to think about adding more to it. So, we worked with our channel partners around, certain stocking areas differently than we worked with our channel partners around where they already had significant demands on us. And we were just trying to meet those demands. So that’s the point that I want to make sure that we emphasize that program is usually a level of the factories. And there’s no need to do that since we’re trying to be full out on the supply chain right now.
Saree Boroditsky: Thanks. That’s helpful. And obviously you’ve had strong sales in the quarter, and it talked a lot about the supply chain headwinds. Could you quantify any loss sales that occurred in the third quarter or that you expect to occur in the fourth quarter? That’s being pushed out to 2022?
John Stauch: I would suggest that, the incremental backlog over last year that we’ve now reported would be the gap that we’re trying to get through. Right? I mean, we have typical backlog businesses, and then we have more book and ship businesses, and then the book and ship businesses, which is primarily the residential. We’re not able to get everything out that our customers want every quarter. And so we start the quarter off and in a backlog situation, continue to add orders to it, ship as much as we can. And then we’re still having those rich backlogs, which are a combination of demand and the inability of the supply chain to meet that demand.
Saree Boroditsky: Great. Thanks for taking the questions.
John Stauch: Thank you.
Operator: Your next question comes from the line of Bryan Blair with Oppenheimer.
Bryan Blair: Thanks. Good morning guys.
John Stauch: Good morning.
Bob Fishman: Good morning.
Bryan Blair: So that sort of follow up on Joe’s question, I guess, to ask more directly, is there anything that you can see today? Are there any meaningful watch items that would prevent pool from posting solid growth again next year?
Bob Fishman: No.
Bryan Blair: All right. No, that’s what I wanted to hear. And it looks like Pleatco, essentially paid for by your second half cash flow. So that’s a pretty good setup. Is there anything you can offer, in 2022 base case outlook growth rate relative to the $95 million ROS level. Anything else that would help us to gauge, a reasonable accretion range for year one?
Bob Fishman: Again, we’re not in a position today to provide the 2022 guidance, but what we do have a number of tailwinds in place, we talked about that the strong backlog on entering the year. We’ve also is as you’d expect with the supply chain challenges, having the number of inefficiencies this year and that’ll help the P&L. And then probably most importantly, the transformation initiative that we talked about should be a tailwind as well for 2022.
John Stauch: Yes, and just Pleatco specifically, which you asked, just think about it roughly a $100 million of revenue give or take and around and think about roughly 20% and a little bit of interest headwind given the fact that most that’s cash and you can get yourself into, what you think accretion might be, obviously we’ll be doing some integration work, which will offset that slightly, but that gives you a general direction of that asset.
Bryan Blair: Okay. Appreciate the detail. Thanks again.
Operator: Your next question is from Jeff Hammond with KeyBanc Capital.
Jeff Hammond: Hi, good morning guys.
John Stauch: Good morning, Jeff.
Bob Fishman: Good morning.
Jeff Hammond: I noticed in both businesses you got, productivity was in the green, and I’m just wondering, what’s driving that just given all the crosscurrents and headwinds on supply chain that would be, I guess, eating into that.
John Stauch: Operating leverage, I mean, these are some pretty significant growth rates, Jeff, and when you leverage your fixed costs factories, and generally what’s been, a very productive, variable labor and fixed cost labor, the factories, that’s where we’re getting that productivity front.
Jeff Hammond: Okay. And then just on, a lot of questions on kind of price in the next year. And I think he has mentioned how substantial the carryover is, is the thought that that price cost dynamic, it looks like it’s a little bit negative, 3Q and maybe into 4Q, but is there a point where you start to see that flip positive or should we continue to think about, this trend of those being pretty close as the trend into 2022?
John Stauch: Yes. Jeff, I think, it’s fair to say that when you take a look at the rate that we’re exiting at, from an inflation standpoint, that creates an inflation headwind into Q1, right. And level it off in Q2 and Q3. And that’s where we got to get the incremental price to try to mitigate that. So full year, next year, I think we would feel like we’re in a position to offset it. There might be some lumpiness by quarter, some tailwinds and some headwinds, and that’s what we’re working through.
Jeff Hammond: Okay. And have you announced your Jan 1 price increase magnitude?
John Stauch: No, not yet.
Jeff Hammond: Okay. We’ll stay tuned for that. Thanks.
Operator: Your next question is from Nathan Jones with Stifel.
Nathan Jones: Good morning everyone.
John Stauch: Good morning.
Nathan Jones: I kind of like tact this a little bit from the gross margin side. So the real inflation started reading through in the third quarter. Gross margins in the first half were a little bit over 36%, about 34.5% in 3Q. Do you expect to be able to get those gross margins back to that kind of 36% range when you’ve offset all of the inflation increases with price, assuming inflation stops going up at some point here. But will there be a – just some of the math of adding the same number to the top and bottom that will keep you below that 36% level that we saw in the first half?
Bob Fishman: No, that is our goal is to get back to that, as quickly as we can. And certainly, doing better from a price and inflation perspective is important, but also the transformation is a key part of our margin expansion story.
John Stauch: And Nathan, I’d like to use the opportunity to share that a little bit. I have desires to have a four in front of that gross margin, as we exit the transformation period that we talked about and, most of the levers that we’re pulling, we believe that pricing is a big initiative and we’re leaning into that with outside help more looking at our value-adds and looking at end-to-end costs and trying to think about even our partners cost and how we help mitigate some of the expense. And we agree to that logistics and end-to-end freight costs are pretty sizeable, not just for us, but for our partners. So, how do we get after that with price? Second one, sourcing, how do we lean in on sourcing, and really I’m looking at global supply chains on a total landed cost basis, and make sure we’re making the best choices and SKU rationalization is a big enabler there as well. The third one is the manufacturing and distribution footprint, I think the distribution one gives us a big opportunity. And the fourth one is the organizational enablement. And that’s really about making sure that as we find new channels, new adjacencies, we’re getting productivity from the old way of doing things to fund the new way that we want to do things. And so those are the four big pillars of transformation. We made a lot of progress and we hope to create tailwinds to 2022 from those initiatives.
Nathan Jones: I was actually going to ask about the transformation initiatives next. I know when you announced these things back in June, there was a period of planning that needed to be gone through in order to finalize what exactly you needed to do. Can you talk about where you are in that process and when you should really start to see the benefits in these things?
John Stauch: Yes, really rich funnel, and I’m really proud of the way the teams drove the brainstorming, the ideation around what we could do and should do. And ultimately the opportunity is significant. And I want to make sure we set those targets against those new gross margin levels that you mentioned, because we have gone slightly backwards here, which means we have more that we have to go get. And then we also have to look at it pre-inflation, currently in the inflation environment and post-inflation to make sure that these are really contributing to the end state of Pentair. So really pleased with the progress and the team. And as I mentioned, we expect it to start contributing in 2022.
Nathan Jones: Great. Thanks for taking my questions.
Operator: Your next question is from Ryan Connors with Boenning & Scatter.
Ryan Connors: Boenning & Scattergood is the name of our firm. Thank you. So, yes, I don’t want to jump across the valley prematurely here. But obviously, we’ve seen what a difference a year can make. So kind of a big picture, structural question around price costs. You’ve gotten a lot of price to pass all this stuff through. So let’s just say hypothetically the fed does tap the brakes early next year. Inflation pretty quickly comes down. Some of your raws go down, your freight goes down. How should we think about price in that scenario? Do you keep a lot of that price and that scenario and realize the margin upside, at least for a while, or, and how long could that be, or do you think that the competitive dynamics and that kind of a scenario would dictate that the price has given back pretty quickly? And I know that the answer might differ by business, but just interested in your perspective on it from that kind of point of view?
John Stauch: Yes. I mean, the way I look at it is that, if you think of that decision tree, you take that scenario, or do you take the scenario where the inflation continues to go forward? I’m going to choose the one where inflation continues to grow, because if that happens and we’re out in front, because we’ve been trying to catch up on price all year long, but if we can get out on the front of it, then the worst case scenario is that we start to turn back pricing to our channel, to basically reflect the lower inflation rate that we have. That’s an easier mitigation strategy than trying to get new price in an area where people are anticipating the inflationary pressures to subside. So, I think those, that’s the scenario planning that we’re going through, which is why we’re not ready to share 2022 with yet, but I’m going to lean towards that. We think inflation and supply chain challenges continue. And the worst case scenario is we dial back from there.
Ryan Connors: Okay. But then in terms of different businesses, I mean, which would be the ones where, based on the competitive dynamics, you think you could hold price and, which are the ones where you think would be a little more competitive and they give-back would be quicker?
John Stauch: Well, I mean, we’ve always said that we’ve got three general business models at Pentair, and our manufacturing build the stock, make the stock that goes through dealer distributors are the most responsive to inflationary pressures and price increases normally. This year is literally unique in the sense that we’ve had these large backlogs and it’s hard. We’re not going to go back and reprice backlog, right? So there’s a little timing delay related to that backlog. Another business model we have is project-based and you’ve got to predict where your price increases need to be to reflect the inflationary pressures that are out there, six to nine months in advance. And that’s always the hardest to get, right. Especially in these environments. And then the third one would be more OEM or larger customer base business models where, again, you’re in a process of negotiation and before those price increases go in, you got to get both sides to agree on what that partnership looks like. It’s those are the three basic premises. And so obviously the make to stock a little easier, most normal times the project, you have to be more careful and the OEM system negotiation of ensuring that everybody got the best productivity in the cycle.
Ryan Connors: Got it. No, that’s really helpful perspective. Thanks for your time.
Operator: Your next question is from Rob Wertheimer with Melius Research.
Rob Wertheimer: Hi, good morning, everybody. Thanks for the informative responses and I’m sorry for one more on price cost, but it’s obviously a hot topic and I’m just curious on a couple of things. Is the volatility and variability in the supply chain getting more predictable? I mean, can you get your hands around what the end points might be on, where it is or is it still kind of unpredictable in the next year? Have you changed the way you price? You just mentioned not repricing the backlog, which I understand if you changed the way you, the way the cadence or anything else about the way you do pricing for more inflationary environments?
Bob Fishman: The headlights into the business on material challenges and inflation, could continue to really be a challenge. I would say, getting the material and that we need to drive the demand that we’re seeing is as much a challenge in Q4 is it, as it was in Q3. Inflation continues to trend higher and maybe a little bit more visibility on that, but not a whole lot better in Q4 than Q3. 
John Stauch: Yes. I think that this has taken our entire skill set, which is one of the reasons I want outside help on this. When you think you’ve got the raw materials side, right, which I think we’ve got closer to more accurate throughout the year, the surprises have been more on the freight and logistics cost of the availability and oils continuing to be volatile right now. And then there’s actually a cost of the routes. So that’s been a little trickier to get right. And then, I think when you get into these ranges, it’s retraining everybody that these are the appropriate coverage ranges because these are not ranges in price increases that we’ve historically sought. So it’s been a journey and a lot of learning’s, and I think we’re getting better at it, and I’m really proud of the way the teams are leaning in.
Rob Wertheimer: Okay. That’s helpful. Thank you. And then just for clarification, when you’re looking at, sold through into dealers are taking orders in 3Q et cetera, I want assumes volume is up next year then, right. I guess maybe that’s partly the ability of what you can deliver and then price ought to be up what mid-high singles, sorry if that’s going too far and I’ll stop there.
John Stauch: It is going a little too far. I mean, I think we’re not ready yet to commit to anything next year, other than we do believe that demand is relatively strong. We do believe that inflation is going to continue and we do believe we got to put price increases out there to cover inflation and not just the raw materials I mentioned, but covering the freight, covering the raw material and also covering anticipated wage inflation as well. So that’s the work we’re going through right now. And we want to get as close to accurate as possible.
Rob Wertheimer: Thank you.
Operator: Your next question is from Julian Mitchell with Barclays.
Trish Gorman: Hey, good morning guys. This is Trish Gorman on for Julian. So a lot of questions in on price cost, maybe looking at the other side is on productivity. I know you guys have made some investments here and you got the transformation savings coming and it’s stuff that nicely in Q3. So just wondering how we should think about this kind of moving forward, is this Q3 rates sustainable or does it step up further from here?
Bob Fishman: Yes, as John mentioned, a lot of the productivity improvements that we’ve seen in Q3, and we’ll see in Q4 related to the operating leverage as 2022 plays out, it’s really seeing some of the benefits around the pricing, the sourcing that the manufacturing and distribution efficiencies and the organization as John described it. So those would continue to be that the levers as we move into 2022.
Trish Gorman: Okay, great. And then just at the Investor Day, as you’ve talked about some of higher investment spending to support these strategic growth initiatives, just wondering if you can give us an update on kind of how that spending has trended to date and what we should expect for that in 2022?
Bob Fishman: Yes. So then we continue to invest in these throughout 2021. And as we lean into 2022, I think it’s fair to assume that, as I mentioned in the organizational enablement side, that we would expect that some of the traditional ways that we did things would be the funding mechanism for the new ways that we need to do things. So, I don’t see it stepping up significantly from here. And I think we have to find a way to self-fund it as we look into next year and then into 2023.
Trish Gorman: Great. That’s very helpful. Thanks guys.
Bob Fishman: Thank you.
Operator: Your next question is from Deane Dray with RBC Capital Markets.
Taylor Wade: Hi, this is Taylor Wade on for Deane Dray. Could you guys just give us a quick update on some of the new IoT product launches and how those have gone and more specifically the app launch in pool?
John Stauch: Yes. Okay. So, we’re excited. I think, first of all, we’ve got 12 connected solutions out there in the market today, and we’re starting to see the ramping up of the downloads of our applications and use of those products. They cross all of our residential streams from also including R&I flow our small pump lines and as well as our water treatment and our pool applications. So, I think one of the bright spots I’ve seen this year is that we continue to see the automation penetration pool. In addition to the upgrades that we saw across the pad. Well, for new pool builds, and in the aftermarket side, sometimes in the busy seasons, you don’t see people also upgrading to those solutions and so that was very positive. And we started to make progress on our IoT related valves for water treatment, and also our pressure treatment and in our small pumps. So really good progress. And I think we’re getting good feedback on that capability to usage from our channel. And we’re excited about the momentum we were really building. And not to mention that we’ve also got the brew assist, and on the large F&B side within IFT, we’re making great momentum as well as building out our services model for our partners regarding the filtration of the year.
Taylor Wade: Very cool. And then just getting back to the supply chain, I know you’ve mentioned, resins and motors have been kind of in short supply in the past. Is there more that’s been added to that list and, or where does that stand?
Bob Fishman: Yes, we would say that, we would add freight and some of the challenges that we mentioned adding to the inflation headwind, but you’re right, that the resins, the electronics those types of products continue to be higher inflation. 
John Stauch: Those chips are what we’re all seeking, right, as products become smarter than you mentioned it with the IoT initiatives. So, we’re not the only company putting an IoT enabled initiatives. Everybody needs chips that goes in our case goes into drives or electronics, which then go into, it becomes sub-components into the assemblies that we’re trying to produce. So that’s where the catch-up in the supply chain really is.
Taylor Wade: Great. Thank you.
John Stauch: Thank you.
Operator: Your next question is from Josh Pokrzywinski with Morgan Stanley.
Josh Pokrzywinski: Hi, good morning guys.
John Stauch: Good morning.
Josh Pokrzywinski: John, you mentioned something in your opening remarks about being, a dealer being booked through 3Q of next year. Just wondering if you can unpack that a little bit more and I guess, for mostly replacement oriented business, that’s an awful lot of lead time. Is that just on doing full construction or something may be a bit more discretionary? Like what should we actually like read into that?
Bob Fishman: Those were – yes, and those were my prepared remarks. So, I will take the, take the lead on this particular question. The dealers booked into Q3 of next year includes, both the new and remodeled pool. So seeing strong demand in those two areas.
John Stauch: I mean, Josh, similar to the construction industry, the constraint is really labor and or material availability for the larger builds or remodels, right? So that is a longer lead time item than even our equipment. So those demands on the channel are out there, the channels, trying to meet the demands. And we’re trying to then meet the equipment demands of those remodels in the new pool builds.
Josh Pokrzywinski: Got it. Would you still say, kind of the majority of the strength you’re seeing today is on kind of sweeping the pool pad and like the broader upgrade versus the – kind of one for one replacement. Like how would you characterize, even growth in the quarter, if you wanted to break that down that’s the level that you go you guys have.
John Stauch: Yes, I think it’s a good way to look at it, Josh. I mean, I think, traditionally we would look at the new pool builds is getting an opportunity to expand – do the whole pad. And that’s why we enjoy that new build, the remodels we have that same opportunity, right to talk to the consumers and share with them the possibilities and upgrade that pool pad. And then we always had the break and fix, and you don’t get this type of growth from just break and fix. So the predominance of the incremental demand over what we’ve historically seen, call it mid-to-high single digits is likely penetration into the aftermarket pool pads or into the new pool pads from adding out to the pad.
Josh Pokrzywinski: Got it. That’s helpful. Yes, it’s breaking fix, Bob is out there too much with the wenches banging on pool pumps in Florida. Appreciate it. Good color. Thanks guys.
John Stauch: Thank you.
Operator: Your next question is from Patrick Baumann with JPMorgan.
Patrick Baumann: Hi, good morning, everyone. Thanks for taking my questions. Just had a – I think so pricing consumer was up high single-digit in the quarter. I think people have asked us every which way, but just want to ask one more time. Like, can that accelerate next year, given kind of what you’re seeing as things exit the year and does it need to accelerate to offset kind of what you’re seeing cost inflation?
John Stauch: Yes, I think the way to think about it is, when you look at a year-over-year, you have to add what it also increased the previous year. And so, when we think about adding to the price increases next year, I mean, it’s important to realize how inflation is compounded from 2020 and 2021, and then how much more will be added as we go into 2022. So obviously when you look at it year-over-year, it’s a piece, but when you go back and look at the start of this, which for us was Q2 2020 we’ve seen the significant demand and that demand is turned into supply pressures. And then we’ve seen the corresponding inflation across the freight and all the other components here. So, I mean, I’m not going to give an exact answer, because I know everybody’s asked me in every single way, but we’ve got to price appropriately to cover the anticipated inflation that we see coming to us in 2022, but we don’t yet have that number. And when we do we’ll share it, but we’re going to price it appropriately.
Patrick Baumann: Okay. And can you talk about maybe the competitive landscape in pumps around the variable speed transition? We’ve seen Hayward pitching this midrange product of compliant pumps that’s like lower priced than they’re variable speed, but it’s compliant with the new regs and we’re hoping to gain some share with it. Just curious if you have any thoughts on that and if you’re hearing any customer interest on that type of a product and what your response could be if there was?
John Stauch: Yes, there are some small markets or some small regions, I should say. Where –a non-variable speed, and we still have a non-variable speed line is appropriate to meet the standards around certain horsepower levels and in certain outputs. So, you’re always going to see a couple of substitutes and a couple small regions, but the truth is most of the energy efficiency standards are driving to a higher level of efficiency. And we all got advance our products, as we try to keep up with sustainability goals and less electricity usage. So that’s where really where the future is. And currently there’s a few small markets or small regions where a substitute could be appropriate.
Patrick Baumann: Got it. Okay. Thank you. And then last one really quick, if I could fit one more in. Could you size for us kind of the percentage of your business that is like I guess, infrastructure related where you might see some benefit from stimulus, if its moves forward?
John Stauch: Yes. I’d say, less than a couple of $100 million is what I would say our exposure is where we might see some benefit from some stimulus, so not a large number for Pentair.
Patrick Baumann: Is that like the muni-pump business or is there something beyond that?
John Stauch: Yes. It’s the muni-pump business and then possibly the pumps that connect the muni to the subdivisions.
Patrick Baumann: Got it. Okay. Helpful color. I really appreciate the time. Thanks guys. Good luck.
John Stauch: Thank you.
Operator: There are no additional questions at this time. I would like to turn it back over to John for closing remarks.
John Stauch: Thank you everybody for joining us today. We have delivered on commitments in 2021, whether measured by sales, income, EPS, or cash flow. And the good news is, we believe there’s still more to come for Pentair. And it’s becoming a pure play sustainability focused company in 2018; we have been building a track record of consistent growth while also driving our commitment to creating a longer term shareholder value. We have focused on portfolio and aligned around attractive secular trends, and we believe our strategic growth initiatives should contribute to us growing at rates even faster than the markets we serve. Our focus on transformation should help us not only unlock additional value, but also fund these growth initiatives. Our balance sheet provides us a lot of flexibility and our 19% ROIC demonstrates our focus on being disciplined with our capital. Stephanie, you can conclude the call. Thank you.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.